Operator: Good afternoon, and welcome to the Edison International Third Quarter 2014 Financial Teleconference. My name is Sheila and I'll be the operator today. (Operator Instructions) Today's call is being recorded. I'd now like to turn the call over to Mr. Scott Cunningham, Vice President of Investor Relations. Mr. Cunningham, you may begin your conference.
Scott Cunningham: Thank you, Sheila, and good afternoon everyone. Our principal speakers today will be Chairman and Chief Executive Officer, Ted Craver and Executive Vice President and Chief Financial Officer, Jim Scilacci. Also with us are other members of the management team. The presentation that accompanies Jim's comments, the earnings press release and our Form 10-Q are available on our Web site at www.edisoninvestor.com. After the call, we will be posting Ted's and Jim's prepared remarks. We will be filing and distributing our regular business update the week of November 3rd, ahead of the EEI financial conference in Dallas. The presentation will have the usual additional information on current topics. During this call, we will make forward-looking statements about the financial outlook for Edison International and its subsidiaries and about other future events. Actual results could differ materially from current expectations. Important factors that could cause different results are set forth in our SEC filings. We encourage you to read these carefully. The presentation includes certain outlook assumptions, as well as reconciliation of non-GAAP measures to the nearest GAAP measure. When we get to Q&A, please limit yourself to one question and one follow-up. If you have further questions, please return to the queue. With that, I'll turn the call over to Ted Craver.
Ted Craver: Thank you, Scott, and good afternoon everyone. I intend to keep my remarks fairly short today. I'm pleased to report that Edison International has delivered another quarter of strong financial results with third quarter core earnings of $1.52 per share up 7% from last year. I'm particularly pleased to note that we have also increased our full year earnings guidance. We now anticipate 2014 core earnings will be in the range of $4.25 to $4.35 per share. This is an increase of $0.60 per share over the midpoint of guidance we provided last February. We continue to deliver solid growth in returns from investing in needed infrastructure to support public safety and reliability as well as California's public policy objectives of creating a low carbon economy and technological innovation. We should note that some of the increase in our core earnings outlook for the year is made up of items such as taxes that we cannot expect will reoccur each year. These items create a higher base against which earnings growth in the future years will look less impressive in year-over-year comparisons. However, these additional earnings increase equity which allows us to make more substantial investments in needed electric infrastructure in the future without needing to issue stock. The high level of investment we have made over the last several years in electric infrastructure coupled with our firm belief that it was not financially prudent to issue equity to manufacture larger dividend increases has caused our dividend to fall below the industry averages for yield and earnings payout ratio. To repeat what I've said before, we are committed to bringing our dividend back into our targeted payout ratio of 45% to 55% of SCE's earnings in steps over time. We recognize that readdressing this imbalance is job number one for many of our investors. The higher earnings outlook we announced today makes it easier to deliver on this objective. We made important progress since our last Investor Call in resolving key uncertainties that have detracted from our longer term potential. On October 9, the Administrative Law Judges recommended adoption of the amended SONGS settlement. Their proposed decision found that the settlement met all of the legal requirements for comprehensive settlement and that it was reasonable in light of the whole record consistent with law and in the public interest. There will also be oral arguments this Friday. All of the settling parties remain in support of the settlement. Although, we do not know the timing of CPUC action, the proposed decision could be considered as early as the CPUC's November 20th meeting. The commission posts agendas 10 days prior to its meeting. The amended SONGS settlement includes several modifications requested by the Administrative Law Judges and the Assigned Commission. The principle change agreed to by the settling parties involved the formula for sharing any future recoveries from insurance and Mitsubishi heavy industries. Another change added a 50:50 sharing of any financing arbitrage between the authorized 2.62% rate of return on the SONGS regulatory assets and actual financing costs. The utilities were also asked to fund $25 million over five years for carbon-related research initiatives. Our share of this will be $20 million and will be funded with shareholder dollars through our corporate philanthropy program. I want to give a quick update on the NEIL insurance claims process. Under the amended settlement, customers will net of proceeds, net of recovery cost, I'm sorry, receive 95% of any insurance proceeds related to the purchased power under what's called the outage policy. Edison shareholders will receive 5%. SCE has currently filed $334 million in outage insurance claims. We don't expect to receive a first determination of coverage by the insurer until late in the year or perhaps early next. If we disagree with NEIL's determination, the policy provides for a dispute resolution process. Under the amended settlement, MHI claims would be shared 50:50 between customers and shareholders net of cost of recovery. Our contract with Mitsubishi calls for international arbitration of disputes, the three arbitrators have now been selected and the process for organizing and scheduling the arbitration has begun. We don't intend to provide ongoing progress reports unless and until we can report material development. We continue to expect this to be a lengthy process. We are committed to representing our customers and our shareholders forcefully during this proceeding. During the quarter, we also completed the final steps in our settlement related to the Edison Machine Energy bankruptcy. In late August, we finalized the 2015 and 2016 payment amounts to the EME reorganization trust consistent with the settlement reached earlier this year. The final payment increased by $9 million above our prior estimates due to an increase in the estimated tax benefits retained. I would like to turn finally to the status of SCE's general rate case. Evidentiary hearings have now concluded as scheduled. Intervener testimony called for material reductions in electric system investment from what we filed. In our policy and rebuttal testimony and in the hearings, we continue to assert as the commission as supported in the past that preventative maintenance and investment in the grid maximizes customer reliability and public safety. The current schedule continues to foreshadow a GRC decision some time in 2015. With that, I'd now turn the call over to Jim Scilacci.
Jim Scilacci: Thanks, Ted and good afternoon everyone. My comments will cover third quarter and year-to-date earnings. I will reaffirm 7% to 9% rate-based growth forecast; our increased earnings guidance and our plans for 2015 earnings guidance. Please turn to Page 3 of the presentation. As Ted as already mentioned, the EIX's third quarter core earnings per share are $1.52 per share or $0.10 above last year. SCE's third quarter core earnings increased $0.08 per share to $1.54 per share largely driven by higher revenues for rate-based growth. This increase was partially offset by lower income tax benefits. In the third quarter of last year, SCE recorded benefit of $0.06 per share related to IRS guidance for generation prepared deductions. Their earnings drivers shown right on the Slide are consistent with this year's trends of core earnings holding results. Higher CPUC and FERC authorized revenues provide for escalation of O&M return, depreciation, financing and taxes much of this is consistent with ongoing rate-based growth. SONGS results are at $0.03 per share lower than the third quarter last year. As we look ahead to 2015, we expect to recover our actual SONGS costs from the nuclear decommissioning trusts. We have submitted an advice letter to the CPUC to access the trust and have filed our decommissioning plans with the NRC assuming the amended settlement agreement is approved by the CPUC; it provides a return on long-term debt and preferred stock which should be roughly convertible to our cost of financing the SONGS regulatory asset. We will also share with ratepayers cost savings of any refinancing the SONGS regulatory asset at a lower – at a rate lower in the settlements authorized rate of 2.62%. At this point in time, we are not forecasting any savings between the 2.62% and the expected refinancing cost. One thing to note, as we continue to contain our O&M costs, which are pretty much flat with the third quarter last year after eliminating O&M related to SONGS and Four Corners. Our 2015 general rate case filing incorporates all savings from 2012 to 2014. Going forward, we have proposed sharing 50% of any 2015 savings from in-fight IT and customer service cost initiatives. Beyond these initiatives, we will continue to constantly speak to improve our cost and service performance. Turning to Edison International parent and another, as a reminder, this includes the co-holding company costs, new business costs under Edison Energy, the remaining investments for Edison Capital, which includes – which continues to wind down and two small investments at Edison Machine Energy. Edison Capital and EME are subsidiaries of Edison Machine Group. During the third quarter, Edison Machine Group contributed $0.03 per share from affordable housing projects. The holding company and Edison Energy costs was higher by $0.02 while we had additional tax benefit of $0.01 per share bringing the total impact from EIX parent and another to a positive $0.02 per share of earnings. The non-core item this quarter relates to recording the completion of the EME settlement. Please turn to Page 4. The year-to-date increase in earnings over last year is driven by higher authorized revenues for escalation of O&M return, depreciation, financing and taxes. Our year-to-date earnings increase also reflects reduced O&M ending from lower severance costs and higher tax benefits. As we discussed in our second quarter call, we recorded $0.09 per share tax benefit from a change in estimate of uncertain tax position. This primarily relates to progress made with the IRS in settling the 2003 through 2006 audit cycle. During the second quarter call, we also mentioned that SCE had earned $0.03 per share for Californian energy crisis litigation settlements. Other minor factors bring year-to-date SCE core earnings to $3.50 per share. Net of holding company cost, EIX core earnings year-to-date increased $0.52 per share to $3.50 per share. Turning to Page 5, we updated SCE's capital expenditure forecast through 2017. The three year forecast is about $200 million higher. As you can see in the chart, spending is forecast to be down by about $300 million in 2015 from updated CPUC's spending and timing of FERC transmission projects. However, an additional $300 million of FERC's transmission spending is now included in 2016 and 2017 for the Coolwater-Lugo and Mesa Loop-in projects. Moreover, our forecast now includes over $200 million of new spending roughly split between 2016 and 2017 to begin converting certain mobile home parks from a master meter to individually metered global homes. This comes has a result of a March CPUC decision that ordered a pilot program to convert 10% of mobile parks are safety and reliability reason. This pilot program is being handled outside of the general rate case process. At this point in time, it's not possible to predict if the CPUC will extend this program beyond the pilot phase. On Page 6, we have also reaffirmed SCE 7% to 9% annual rate case growth forecast. As we have discussed previously, a rate-based growth is depending upon the CPUC's decision and SCE's 2015 general rate case. Some interveners in the case have suggested productions, some capital expenditures that will result in lower rate-based growth. However, we have progressively responded during the rate case hearings on the need for continuing and in fact increasing infrastructure spending consistent with the commissions focus on public safety and reliability. We therefore believe the forecast range remains a reasonable one. More information on intervener positions is included in the presentation appendix. The final topic is guidance. Please turn to Page 7. We continue with the same approach to guidance that we showed you in February and again, in April. We start with the SCE rate base driven earnings estimate up $3.40 per share based on the midpoint of the rate-based forecast. Looking across the bottom of Slide, we have updated our guidance to reflect our current outlook for earnings and we have also assumed that the amended SONGS settlement is adopted this year. Our original guidance assumed a $0.07 per share negative impact related to SONGS. This is primarily from the lack of authorized revenues to cover the cost of debt-preferred stock. The settlement allows a partial return to SONGS regulatory asset of 2.62% thus providing $0.03 of incremental earnings. The amended settlement includes 5-year philanthropic contribution of the University California that totals $20 million. Our updated guidance accrues for the 5-year charitable contribution or $0.04 per share. There are other small items that net flow positive $0.01. The net effective of all these items is again a negative $0.07 per share for SONGS. The major positive items for our guidance relate to income taxes – higher income taxes benefit, cost savings and other items that we previously reported in our year-to-date result. Cost savings and other remain the largest element and we have increased from $0.35 per share in our original guidance to $0.69 per share. Income tax benefits are now forecasted at $0.41 per share compared to $0.14 previously. We also have removed 2014 energy efficiency earnings of $0.03 per share based on the CPUC's action delay processing of utilities energy efficiency award request. As a result, we would expect the energy efficiency awards in 2015 will include multiple years. The combined impact of these benefits is now $1.10 per share up $0.58 per share from the original $0.52 share estimate. We have also updated the Edison International parent and other costs estimate from $0.15 per share previously to $0.13 per share reflecting year-to-date results. This gets us to a new core earnings midpoint of $4.30 per share and the new core earnings range of $4.25 to $4.35 per share per year as Ted as already said. I will finish up with the comment on 2015 guidance. Please turn to Page 8. Based on the current GRC schedule, it is not likely that SCE will receive a final GRC decision by the time we report full year results in late February of next year. We intend to follow our prior practice of not providing 2015 earnings guidance until we receive a GRC decision. We are mindful of the importance of helping investors model their earnings outlook even in the absence of a decision. We believe that our rate-based forecast continues to be the best indicator of ongoing earnings power. Thanks. And now, I will turn the call over to the operator.
Operator: Thank you. (Operator Instructions) The first question is from Greg Gordon of ISI Group. Your line is open.
Greg Gordon - ISI Group: Thanks. Can you hear me okay?
Jim Scilacci: Yes, Greg.
Greg Gordon - ISI Group: Couple of questions. One is, can you tell us whether or not the ex parte communication situation that has evolved at PG&E has had any impact at all on your ability to conduct business at the CPUC, and if there is any potential for either a self-policing review or an external party looking for – looking into your communications with PUC?
Ted Craver: Greg, its Ted. In terms of as that caused any kind of interruption and the business we have before the CPUC, I think probably the best thing I can point to is, the ongoing general rate case activities I think I mentioned in my comments that we are actually just finished up evidentiary hearings as scheduled. So at least from what we can see, there seems to be really something that's primarily focused on the San Bruno item as opposed to the activities that we have before the PUC. So we are certainly trying to make sure that all of our personnel know what's expected of them in terms of proper conduct with the PUC. We have compliance program. We have training. We have kind of redoubled efforts along those things just to make sure that that's very present in everyone's mind. But, beyond that really we are pretty much in business as usual.
Greg Gordon - ISI Group: I know that you haven't been approached by the Attorneys General to disclose your communications in lieu of what they are doing over ECG?
Ted Craver: No.
Greg Gordon - ISI Group: Okay. Thanks. Second question, you said that you thought the energy efficiency decisions would all be multiple years of 2015. I know you keep telling us to use the rate base math when we think about the earnings power of the company and you have exclusively not given guidance for 2015 and beyond. Can you give us any sense of whether or not there will be items that are beyond rate base math that could potentially impact 2015 earnings and beyond?
Jim Scilacci: Greg, this is Jim. What we will find on doing is, putting out a schedule that shows the energy efficiency potential earnings. This is on the public domain, we are just going to put it on a schedule where you can see which year was earned from and when we expect to receive it. That will be one helpful bit of information. But beyond that we won't predict shorter general rate case decision, if there is any potential O&M or tax benefit that could result in future periods. We would assume as a working assumption a lot of that is past back as part of the rate making process. And we will need a decision before we can really O&M in that number.
Greg Gordon - ISI Group: Okay. When we will see that schedule?
Jim Scilacci: That will probably be as part of our February where we could come out with our year end earnings. We will provide that information. Most of it's already in the public domain. We are just trying to get it so people can see it in one place.
Greg Gordon - ISI Group: Great. Final question, when would you expect to make the next move on the dividend, is it going to be in the normal cycle year coming in December?
Ted Craver: Greg, this is Ted. You are triple-dipping here today.
Jim Scilacci: I think that was four, something like that.
Greg Gordon - ISI Group: Sorry, I only have one question but it's in 27 parts.
Ted Craver: It's creative. On the dividend, I mean I think everyone knows we have typically looked at that during our December Board meeting, but there is no such schedule to it. And that's something that we really leave for the Board to make a decision on and kind of the normal course when they have all of the facts in front of them. So there is a general practice, but no such schedule.
Greg Gordon - ISI Group: Okay. Thanks guys.
Ted Craver: You are welcome.
Operator: The next question comes from Jonathan Arnold of Deutsche Bank. Your line is open.
Jonathan Arnold - Deutsche Bank: Good afternoon guys.
Ted Craver: Hi, Jonathan.
Jonathan Arnold - Deutsche Bank: Could I just ask on the SONGS item in the guidance which is $0.07 negative but its composition is kind of different from what it was before. If I heard you right, the $0.04 piece the philanthropic contribution you booked the whole five-year thing upfront in 2014 or you intend to, is that correct?
Jim Scilacci: Correct.
Jonathan Arnold - Deutsche Bank: Okay. And then the settlement is that sort of ongoing impact of the settlement or a one-time aspect of the settlement?
Jim Scilacci: So the return on the debt in 50% of the preferred that's what I was referring to for the $0.03 positive with the assumption we will get a decision.
Jonathan Arnold - Deutsche Bank: So that's sort of full year impact?
Jim Scilacci: Yes, yes.
Jonathan Arnold - Deutsche Bank: As we think about that line going forward Jim, is there and it's a slight drag from SONGS items in 2015 and beyond, is that the right way to think about that?
Jim Scilacci: We will reset. As we said before a couple of years ago when this got started that the rate base is going to be readjusted and the debt and preferred and the common will now be based on the actual rate base. And we wouldn't expect that we have is separate SONGS item ongoing.
Jonathan Arnold - Deutsche Bank: That will just going to be a feature of whatever the new guidance has?
Jim Scilacci: Correct.
Jonathan Arnold - Deutsche Bank: Okay. That's very helpful. Thank you. But then, could I just ask on the parent and other, your number to the tick down slightly, is that – is it directionally where parent costs are heading?
Jim Scilacci: This one has been periodically, its hard to predict. We had some earnings going out from Edison Capital. Remember, we have been liquidating a low income housing portfolio there and it's hard to predict and we don't forecast earnings coming from that and periodically we get some earnings. So that's the primary reason why the parent other was down this quarter. But, that's what we said and I will keep by that statement that it's roughly it's a little – it's a little over $0.01 per month in cost from the holding company only.
Jonathan Arnold - Deutsche Bank: Is that what we should anticipate as a steady-state modeling outcome going forward absent some other change?
Jim Scilacci: I will standby by 2014. And I don't see it changing appreciably going forward.
Jonathan Arnold - Deutsche Bank: Okay, great. Thank you, Jim.
Jim Scilacci: Okay.
Operator: The next question comes from Hugh Wynne of Sanford Bernstein. Your line is open.
Hugh Wynne - Sanford Bernstein: Hi. Congratulations on a great quarter. I'd just like to know how one achieved an increase in cost savings from $0.37 to $0.69, how does that gets up?
Jim Scilacci: Hugh, its Jim. Across the board a lot of different things going on, higher revenues, labor expense, its lower tax expense for related benefits. It's a lot of little things and remember we had higher severance expense last year lower this year. So the year-over-year changes had a factor on it too. So it's a number of different things. We have been predicting all long that there would be savings coming out this year that we will pass back as part of the rate making process that we are just seeing higher level of savings than what we had originally anticipated.
Hugh Wynne - Sanford Bernstein: These are -- one that the savings are so substantial on the rate of increase and the savings are so substantial, but when it come to that kind of extrapolate into the future, the possibility that you might find savings in the next general rate case budget that could allow you then to exceed your expected earnings in the GRC, the coming GRC as well. Is that a realistic expectation? Or do you think that this is just sort of one-off cut in your operating maintenance expense that really cannot be replicated in the future?
Jim Scilacci: Well, what I did say in my script that we will continue to look for cost and service improvements. The key thing that's not available here is, in terms of what the commission decides is going to be the O&M levels and our spending levels for 2015, 2016 and 2017. What the attrition mechanism might be for 2016 and 2017, those unknowns. So I think that's why we have been taking you back in my comments for 2015 guidance was, the one thing that we have a higher degree of confidence around is the rate-based forecast. And that's the true driver of earnings and we may have some transitory earnings or potential losses depending upon things how they evolve in both O&M and tax benefit. But the rate base is the true one guide towards a future earnings.
Hugh Wynne - Sanford Bernstein: Great. Thank you very much.
Jim Scilacci: Okay, Hugh.
Operator: The next question comes from Julien Dumoulin-Smith of UBS. Your line is open.
Julien Dumoulin-Smith - UBS: Hi. Good afternoon.
Ted Craver: Hi, Julien.
Julien Dumoulin-Smith - UBS: So following up on the GRC if you will, what's the latest timeline, could you give us a little bit of an update on where we stand just given everything going on in the CPUC? And then perhaps the follow-up question and I will stick with just one follow-up here. How could that potentially impact the CapEx on the various timing outcomes of the GRC here?
Jim Scilacci: Yes. Julien, its Jim. It's a good question. We concluded, Ted said today, hearings. That was an important milestone. And the next real key thing we got coming up, we have update hearings unless they change them in January, don't we Maria, Pedro? That is the last bit of information where the update for known changes that have occurred and there are some hearings around that. And then you got to get into filing your briefs and your closing briefs, reply briefs. And then it's on to the judges for drafting of the proposed decision. Normally just if you go back in prior years, the update hearings were typically in November of the year. So it looks like we're at least two, maybe three months behind just from looking at that schedule. But, I can't predict once we turn it over to the LJ's how long it's going to take them prepare the proposed decision. That is the key unknown. Your second question, thank you for keeping to two. The capital expenditures, part of what we do is, we look out over the three year period and we tend to send our capital expenditures, so we can have a steady state of work. If you go back and look over the last couple of years, we have been challenged to ramp-up our capital expenditures to reflect the level that was authorized and it had a lot to do with getting the crews in place in order to get the constant steady state of work. And we are trying to maintain that constant steady state of work without dropping back to a lower level of capital expenditures because we don't have certainty. So our view is, if they do come in, in lower capital expenditures, you can adjust your rate of spending in the prior year, so beyond 2015, so 2016 and 2017. So we have some flexibility around and how you schedule things over that three year period. But, we were trying to maintain a level of overall expenditures at this higher level because it really reflects a lot of work to get the crews ramped up to where we are today.
Julien Dumoulin-Smith - UBS: But, ultimately it seems like the timeline on the actual rate case doesn't seem to be too impacted by the latest development, if I hear you correctly?
Jim Scilacci: Yes. I think that's how we are going to operate the business. We are going to launch our O&M spending obviously because O&M is different and capital – three years to deal with capital. We only have one year for O&M. So we are very much carefully watch our O&M. But our capital, we want to maintain at the levels we have identified in our documents.
Julien Dumoulin-Smith - UBS: Great. Thank you very much.
Jim Scilacci: Okay, Julien.
Operator: The next question comes from Dan Eggers of Credit Suisse. Your line is open.
Dan Eggers - Credit Suisse: Hi, good afternoon guys.
Ted Craver: Hi, Dan.
Dan Eggers - Credit Suisse: Just following up on Hugh's question is kind of that you have pretty remarkable improvement in O&M cost management. Can you just remind us how those adjustments are kind of that better starting point from this year gets reflected in kind of the GRC process given the relatively short open period for adjustment and docket tweaks that sort of stuff?
Jim Scilacci: So really it's just part of the rate case process, no update for – they are looking at forecast and they look at some actuals because they will be able to go beyond them. The record doesn't close until next year. And so you would expect them to pick-up a lot of the factors that we have this year. And then, whatever they decide from there it's hard to predict at this point in time. Well, where they will set the actual level of O&M until you actually get a proposed decision on a filed decision.
Dan Eggers - Credit Suisse: And along those lines Jim, did I hear you correctly saying that you guys would split 50:50, if you had more IT and some other savings in 2015 and beyond?
Jim Scilacci: So we said, we had some specific things that we have identified as part of the rate case process. And we offered those up as part of our showing within the rate case and said we will share 50% of the savings. And I also said that we will continue to look for additional cost savings. And so that's – so those are the facts as they are today.
Dan Eggers - Credit Suisse: And just one, last one, Ted on the payout ratio should we be thinking about that 45% to 55% based on the rate base math what earnings would be – as do you guys provide it right now or should we assume that if you start realizing better earned ROEs because some of the operating efficiency savings that that is where you calibrate your payout ratio?
Ted Craver: Yes. There is always, I guess I will say unpredictable pluses and minuses. So what we really tend to do is just make it straightforward. It's based on the rate base that's really the durable growth and the durable earnings power of the company. And that to us seems to be the appropriate way to kind of think about the 45% to 55% payout ratio. Obviously, like in the case of this year, if you have additional earnings from taxes or whatever it maybe, now that just builds your equity and makes it stronger balance sheet from which to finance the type of significant electric infrastructure investments that we see in the future as suppose puts you in better financial strength and our balance sheet strength provides I think more certainty that you can manage the growth in electrics infrastructure investment without having to tap the equity markets, which as you know is something we've really try to keep in balance.
Dan Eggers - Credit Suisse: Got it. Thank you guys.
Jim Scilacci: Okay, Dan.
Operator: The next question comes from Michael Lapides of Goldman Sachs. Your line is open.
Michael Lapides - Goldman Sachs: Hey, guys. One thing, just thinking, this is a little bit follow-on the rate case question. In the rate case filing, is the O&M that you requested higher or lower than kind of – if I would have taken annualized run rate for what O&M has been at SCE so far in 2014?
Jim Scilacci: I don't know if I can answer the question Michael. You have to go back compare. We have been driving the O&M down. And as I said in my prepared comments you are taking SONGS out and we are taking Four Corners out and so you would expect based on that the trajectory is lower. But trying to line it up exactly, I don't think I can do it right here.
Michael Lapides - Goldman Sachs: Okay. Just trying to think about – are you incurring costs that you had already filed for in the rate case? Or if the rate case has higher 2015 O&M versus 2014, it's for costs you are not already incurring. So if you are not authorized, the revenues that go with those costs – it's not like you've got to go through a major cost-cutting exercise.
Jim Scilacci: It all depends on what they authorize in the end Michael.
Michael Lapides - Goldman Sachs: Got it.
Jim Scilacci: So I understand the crux of your question in terms of where we are spending relative to what's in the GRC. It ultimately then goes to what they authorize.
Michael Lapides - Goldman Sachs: Okay. On energy efficiency for 2015 and beyond, since you are not recognizing any of it in 2014, does that mean 2015 could be a little bit of a catch-up year, where you recognize both 2014 and 2015 in that one year? Or are you just kind of going to skip a year?
Jim Scilacci: I think that's how we are thinking about it now you may have pancaking of years.
Michael Lapides - Goldman Sachs: Got it. Okay. Thanks Jim. Much appreciated.
Jim Scilacci: Okay, Michael.
Operator: The next question comes from Kit Konolige of BGC Partners. Your line is open.
Kit Konolige - BGC Partners: Good afternoon guys. Just I think a lot of this has been asked already. But Jim, maybe -- I'm not sure I caught a lot of detail about the positive tax impacts that we're seeing so far. Is it possible to explain those in a non-technical way that would give us some idea of what's driving that, and how sustainable they might be?
Jim Scilacci: Yes. I didn't give a lot of details. You didn't miss it. We see additional repair deductions. So when you have work like pull loading or infrastructure replacement, you have repair deductions. You get faster deductions for tax purposes. And we are continuing to see those come through and we have been running behind in terms of what are our original expectation was in that area. We see additional property tax reductions. There are a number of different taxes here. Cost of removal deductions, so there is a number of different pieces here, so it doesn't add up to one item being large but all of them together selectively made a significant change from what we had previously forecasted.
Kit Konolige - BGC Partners: But they all – moving up in the same direction, that it comes out to a pretty significant dollar amount. Is that related – does that relate to anything that's unusual about your capital spend, or acceleration of CapEx, or anything like that? Or is this just how the tax laws happen to be written?
Jim Scilacci: There is more the nature of what the capital expenditures are. It has to do with more of our expenditures and as we are – we are ramping up now for infrastructure replacement and pull loading expenditures qualify for repair deductions and cost of removals. And we are seeing details relative to what we had in our forecast in the current year receipts. So that's why you are seeing these earnings pop out for this year.
Kit Konolige - BGC Partners: Great. Okay. Thanks a lot.
Jim Scilacci: Okay, Kit.
Operator: The next question comes from Ali Agha of SunTrust. Your line is open.
Ali Agha - SunTrust: Thank you. Jim, just to put that bucket in your earnings guidance, the $1.10 of incremental earnings that you are picking up this year – can you just remind us how much of that was picked up in the third quarter and then year-to-date?
Jim Scilacci: Of the $1.10 and I don't know if I could break it out completely. I can give you some numbers that we have seen previously. We said back in the second quarter there were $0.23 of earnings that were outside of our guidance. You can back into that from that number. And beyond that its more difficult to break it out by quarters, what was in the third, what we anticipate being in the fourth. But, the closest I can give you right now, Ali.
Ali Agha - SunTrust: Okay. And then second, am I correct? When I looked at the rate base numbers in your latest slide deck, specifically for 2015 and 2016, compared them to the last time you had given us those numbers, there's about a $400 million per year reduction in the ranges for 2015 and 2016. Am I correct in that calculation?
Jim Scilacci: Yes. There are some changes going on as I said in my prepared comments, we are shifting dollars out of 2015. And so they are going into 2016 and 2017 and there is a net increase in overall capital expenditures because we have a new program for converting mobile home parks from master meters to individually metered mobile homes. So its affecting both capital then ultimate rate base.
Ali Agha - SunTrust: Okay. But, again, if I add in 2017 to the mix, it seems that you only pick up about $100 million to $200 million there, and you are reducing about $400 million in each of the years 2015 and 2016. So over the three-year period, it looks like a net reduction, if I'm looking at it right.
Jim Scilacci: Yes. It's hard to – it really has go into how that actual closings are being forecasted, so as we have capital expenditures and then ultimately closings and how it relates to rate base. So I don't have any further detail I can give you on that that could change periodically.
Ali Agha - SunTrust: I see. Last question, sorry for that. On Slide 12, where you talk about some of your growth CapEx initiatives beyond 2017, just to put that in some context, does that sustain your rate base growth at the same level, based on all the items you've listed on that Slide 12?
Jim Scilacci: Yes. We haven't put out a forecast or rate base real figures. What we have been trying to indicate that $4 billion year capital expenditure is kind of like the sweet spot. Ted has mentioned that previously. And so we see infrastructure replacement going up in spending transmission has come down a little bit. And we have some of these other initiatives that are on the periphery, the horizon that we were thinking about now that could affect our overall capital expenditures beyond the 2017 timeframe. So I'm not trying to go to higher net of level capital expenditures. And I'm not providing you actual CAGRs and you would expect as the base gets bigger your CAGR will probably come down slightly just from the math on.
Ali Agha - SunTrust: Right. Thank you.
Jim Scilacci: Okay.
Operator: The next question comes from Shahriar Pourreza of Citigroup. Your line is open.
Shahriar Pourreza - Citigroup: Hi, everyone.
Ted Craver: Hi, Shah.
Shahriar Pourreza - Citigroup: I think we – just on two filings, I think we discussed in the past that there's potentially two filings next year: one distribution resource plan under AB 327; and then another proposal to potentially look to do electric vehicle charging stations. Is this sort of above your 7% to 9% rate base growth, or is it embedded in the numbers? Can it move the needle?
Jim Scilacci: I think it's a good question. I think the timeframe maybe out slightly as you get into when those might take effect. And obviously, you have to file an application, the application is going to take time to process. And I couldn't anticipate that it would be well in the 2016, potentially 2017 before you actually see spending from either of those two initiatives. And so it's hard at this point in time to forecast that it might push it higher than where we are forecasting today.
Shahriar Pourreza - Citigroup: Got you. Got you. And then just a follow-up. On the MHI proceedings, are you bound by ordinance to remain – to not disclose the process? Or is this sort of like you just want to update investors, once you have some data point to update investors with? What's the procedural process there?
Jim Scilacci: We are going to have Rob Adler, our General Counsel comment on that. Bob?
Rob Adler: These proceedings are typically confidential in nature. It would take the parties to agree to make them otherwise as well as the tribunal. And so at this point in time, we are simply not going to be commenting beyond the material events that would – that would require disclosure.
Shahriar Pourreza - Citigroup: Terrific. Thanks. Congrats on a good quarter.
Jim Scilacci: Okay, Shah. Thanks,
Operator: The next question comes from Angie Storozynski of Macquarie. Your line is open.
Angie Storozynski - Macquarie: Thank you. I just have a quick question on GRC. Now that the hearings are over, and the commissioner assigned to the rate case is not going to be around past the end of – I mean of the CPUC – at the end of this year, is it possible that we would have a settlement instead of a fully litigated case?
Jim Scilacci: Angie, its Jim. I don't think we can speculate on that. Of course, if it were appropriate, we would enter in discussions, but we can't comment beyond what we know now.
Angie Storozynski - Macquarie: Okay. Thanks.
Jim Scilacci: Okay. Talk to you then.
Operator: The next question comes from Travis Miller of Morningstar. Your line is open.
Travis Miller - Morningstar: Good afternoon. Thank you.
Jim Scilacci: Hi, Travis.
Travis Miller - Morningstar: The income tax benefit that you've been realizing – how much, if any, ultimately would go back to ratepayers, either through the GRC or some other type of mechanism?
Jim Scilacci: Travis, this is Jim. We have been forecasting and signaling clear that we would expect the tax benefits we realized during this year see to go back to customers. And that's a part of the rate case process. And so we are not indicating that would expect earnings from tax benefits going forward.
Travis Miller - Morningstar: And that would ultimately show up in a lower revenue requirement?
Jim Scilacci: Sure. They will just for the benefits, yes, they will take it away, lower the revenue requirement, already incorporated in our GRC request.
Travis Miller - Morningstar: Got it. And then another subject, maybe Ted, what's your latest thinking on the FERC Order 1000 projects? Is that in a planning stage for you guys, or is that too far off to think about?
Ted Craver: Well, certainly not in a place where we think we would have something to disclose about it. But, we have indicated previously that competitive transmission, if you will, FERC order 1000 base transmission projects is something that we are seriously considering and looking at. We have a subsidiary that we've formed Edison Transmission, which is really to explore those possibilities and should something come together then we, of course, would have more to say about it. But, at this point, I think like most companies out there, we are looking at it, trying to assess where the opportunities are. We have ourselves kind of organized to go after these things in a logical way, if we see good projects that make good sense. Then presumably we would go forward and those.
Travis Miller - Morningstar: Okay, great. Thanks a lot.
Jim Scilacci: Okay, Travis.
Operator: The next question comes from Neel Mitra - Tudor, Pickering. Your line is open.
Neel Mitra - Tudor, Pickering: Hi. Good afternoon. Just wanted to get your thoughts on the probability of the renewable portfolio standard going over 33%, and what the timing of that would be, and what possible investment generally that would require from you going forward.
Ted Craver: This is Ted. It's going to be difficult to really speculate much on this. We were currently of course focused on trying to get to the 33%. And we have procurement efforts and the like to get us there. Whether this becomes something that either the Governor's Office or legislator just want to look at that's really hard to predict, I'm not aware of any specific bills that are being put together or floated at this point. So it's really just hard to speculate on it.
Neel Mitra - Tudor, Pickering: Okay. Thank you.
Operator: (Operator Instructions) And it appears that was the last question. I will now turn the call back to Mr. Cunningham.
Scott Cunningham: Thanks very much everyone for participating. And please call our Investor Relations if you have any follow-up questions. Thanks and good evening.